Operator: Thank you for standing by. This is the conference operator. Welcome to the MobileIron Fourth Quarter 2016 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Samuel Wilson, Head of Investor Relations. Please go ahead.
Samuel Wilson: Thank you operator. Good afternoon, and welcome to MobileIron's fourth quarter 2016 financial results conference call. Joining us from the company are Barry Mainz, CEO; and Simon Biddiscombe, CFO. The format of the call will be an introduction by Barry then Simon will provide details on the financials. We will then have time for questions. If you have not received a copy of today's release, please call MobileIron Investor Relations or go to MobileIron's Investor Relations website at investors.mobileiron.com. Today's conference call contains forward-looking statements that involve risks and uncertainties, including statements regarding MobileIron's revenue, operating expenses, GAAP and non-GAAP financial metrics, projections, and trends. All of these forward-looking statements are subject to a number of significant risks, uncertainties and assumptions. Actual results could differ materially from the statements made on this call, including for the reasons stated in the risk factors section of our SEC filings. All statements made on the call are made as of today. We assume no obligation and do not currently intend to update any such forward-looking statements. If this call is reviewed after today, the information presented during the call may not contain current or accurate information. With regard to non-GAAP financial metrics, while we believe them to be hopefully understanding MobileIron’s financial performance they are not meant to be considered an isolation or as a substitute for comparable GAAP metrics and should be read only in conjunction with MobileIron’s consolidated financial statements prepared in accordance with GAAP. A reconciliation of the non-GAAP financial metrics mentioned on this call as against the GAAP metrics can be found on our press release and on the Investor Relations page of our website At this time, I'd like to turn the call over to Barry. Please go ahead, sir.
Barry Mainz: Thank you, Sam and good afternoon. In my remarks today, I will provide a brief commentary on the fourth quarter and 2016’s financial performance, discuss a few key highlights and provide an update on the mobile security market. Simon will then provide our detailed financial results and our guidance going into 2017. Fourth quarter 2016 was a record quarter. GAAP revenues were $45.5 million at the higher end of our original $44 million to $46 million guidance. Billings came in at $55.4 million, above our expected range of $52 million to $54 million we guided to on the last earnings call. We saw strength in our business from new and existing customers. For the year, total gross billings were a $182 million and GAAP revenue was $164 million for growth of 10%. The fourth quarter and full year financial results were record highs for the company. I am pleased with the performance of the business in the second half of 2016 and the trajectory as we enter 2017. Changes that the team and I implemented are clearly having a positive impact on the business. Two important business indicators are our customer satisfaction scores and customers engagement with new products. I’m happy to announce both are trending up. Sales of our EMM platform showed acceleration in the second half of 2016 with double-digit billing growth year-over-year in the third and the fourth quarter. In 2016, I met with more than 250 customers and they all brought our software to address similar issues. They are concerned about security because mobile threats are becoming more frequent and more consequential. When these threats are successful both business and personal data is often stolen. Over the last 90 days, new threats have emerged, some threats evolve, and others were repeated. In the mobile malware space a new family named Gooligan was identified. Gooligan was distributed through third-party app stores and it continued the trend of routing devices over the air. Gooligan successfully compromised over 1 million Google accounts, including the tokens used to authenticate other services. Call jam malware temporarily evaded detection on the Google play store by masquerading as a four star rated android game. Once installed on a phone it made fraudulent calls to so-called premium phone numbers making money for the attackers in the process. The ad apps firmware over the year provisioning tool can leak or intercept a variety of mobile data, including call logs, contacts, location, and SMS messages. It can also remotely install and update firmware and apps. Ad ups was as found on handsets from a number of manufacturing and on nook tablets. It has since been blacklisted via the android compatibility test suite. Most recently, HummingBad returned rebranded as HummingWhale. It no longer attempts to root devices or perform other privilege escalations, but it can still attempt to install bogus apps and uses virtualization to avoid detection. Organizations need to defend their data against both overt attacks and more settled threats like password re-used in credential fact. Mobile threats are constantly changing and MobileIron's EMM platform gives companies the tools to identify the indicators that a device or app is compromised and to take appropriate corrective action. We’re always looking to bridge the gap that conventional security technologies leave. This is especially critical in a world where enterprise data no longer lives behind the firewall. On mobile devices, browsers have given way to mobile app, meaning persistent data is on the device and needs to be protected. We recently launched first to market MobileIron Access, the critical link between the mobile app and the Cloud service. MobileIron Access acts as a gate on the authentication path between the user and the Cloud data to only trusted users on trusted devices using trusted application to get the data. Additionally, MobileIron access allows companies to enforce policy as to when an employee can have access to the data, apps, and/or content. Access is a unique solution in the market. No one else can solve the app-to-cloud security problem. Here are several examples of common security or compliance risk that we believe only MobileIron Access saw. An employee uses Office 365 mobile app to access business data on a jailbroken phone, business data is now on a hacked device and exposed to the world. A salesperson downloads the Salesforce 1 app to their spouse’s iPad. Business data is now on an unsecured device and is out of the company's control. A salesperson downloads one of dozens of apps that use APIs to connect his Salesforce.com Cloud service, business data is now in an unauthorized mobile app and the organization has lost control of the data. Several countries have employment laws around retrieving company resources during non-working hours. For example, in France a right to disconnect law has been in effect since January 1, 2017. MobileIron Access is an out-of-the-box solution to allow a company to put IT processes in place. To ensure compliance with these laws while not burdening the user. In each of these cases, the cloud service does not know the device and/or the app is non-compliance and the corporate data is unsecured, but MobileIron Access does and it ensures that only trusted apps on trusted devices can access Office 365, Salesforce, and any other business cloud service. With MobileIron Access un-trusted users apps and devices are blocked. I’m very pleased to share that we generate our first billings and revenue through multiple transactions from MobileIron Access in the fourth quarter. Let me tell you about one of the first customers. Blackstone is one of the world's leading investment firms and a long time MobileIron customer. They wanted to provide secure access to Cloud services and in-house HTML5 Application. They also wanted single sign-on to make it easy for employees to log on to these services. Blackstone looked at a variety of solutions and choose MobileIron Access because no other technology can provide the necessary levels of security and SSO. These initial transactions validate our belief that MobileIron Access solves the problem that no one else has figured out how to solve. On the last earnings call, we told you that we launched MobileIron Bridge, which unifies mobile and desktop operation for Windows 10. In Q4, we also generated the first billing and revenue for MobileIron Bridge. Bridge expands our Windows 10 product portfolio and allows IT departments to reuse their existing system centre infrastructure in the new EMM world, but unlike system centre and other legacy tools, our research shows that customers can reduce the total cost of ownership of their PC deployments by 60% to 80% by switching to EMM. Like MobileIron Access Windows 10 is at the beginning of its adoption life-cycle. We have already surpassed 50,000 Win 10 devices using MobileIron EMM and we have high hopes for 2017 as enterprises adopt the new OS. We announced today that we have now sold our platform to more than 13,500 cumulative customers. I’d like to share some deal highlights that show how companies are using mobile to transform their businesses. Let me start by welcoming Lexmark, one of our new customers. They are experiencing stability issues and lacking a roadmap with a legacy solution. Lexmark choose MobileIron to secure email and deploy apps for their sales organization, as well as manage laptops. Foxconn is known as the manufacturer of iPhones, iPads, Kindles, Nintendos, PlayStations, Wiis, and Xboxes. We recently started deploying in one of their European operations and we hope to take this application worldwide. We welcome Mazars the global audit accounting and consulting firm which conducted an extensive review of the products in the market and choose MobileIron. Mazars has more than 17,000 professionals in 77 countries and we look forward to working with them to rollout our technology. NIS is one of the largest vertically integrated energy companies in South-East Europe. The company was looking for mobile app security solution. The combination of platform and our AppConnect ecosystem put us far ahead of our competition and we won the deal. German company Miele is the world's largest family-owned and operated appliance company with more than 16,600 employees, 12 production facilities, and representation of nearly 100 countries. Like MobileIron, Mele defines itself by its product quality and customer focus. Mele knows that when a customer chooses one of their products they may have the product for a lifetime. We are proud to have them choose by such a discriminating buyer. Another member of the Forbes 2000 list is the Japanese petroleum company Idemitsu Kosan. At Idemitsu, has been using MDM from a local vendor, but found their security and capability is lacking. The switched to our Platinum package to meet the security needs of their highly mobile workforce. Pearson, the world’s learning company with 35,000 employees across 70 countries worldwide uses MobileIron to secure its full global workforce. Our competitors have tried to dislodge us through bundling without success. Pearson continues to choose to work with us because they trust our product innovation and customer service. PIMCO is a leading global investment management firm with offices in 12 countries throughout North America, Europe, and Asia. One of the key purchasing factor in PIMCO’s decision was our ability to deliver per app VPN using MobileIron tunnel to protect their corporate network. Allied Healthcare is the U.K.'s largest homecare business and they have been using an MDM solution from another vendor that was no longer meeting their needs. Allied Healthcare wanted to improve in-home care by automating manual paperwork. And they wanted to move away from paper based patient record. With our partners Everything Everywhere and Samsung we were able to provide them with a Cloud solution to meet their need, the right carrier, the right device, and the best EMM Cloud platform. As the Allied Healthcare win showed our Cloud platform continues to see strong momentum. IT departments increasingly have a mandate to evaluate cloud products and our Cloud platform is the fastest growing product segment. Our Cloud platform scales to millions of devices and provides world-class security making it the best EMM Cloud option. Every quarter we see more organizations realizing they need security for their modern devices and when they look at our platform they recognize that MobileIron has the best solution designed for this. I’ll talk more about this at our Analyst Event on February 22 where we plan to announce a major product initiative. I hope you can join me. In closing, the company had a great fourth quarter even stronger than the forecasted 90 days ago and we achieved our long-held goal of achieving positive cash flow. As we enter 2017, I want to thank our employees, our partners, and customers for their continued commitment to our success. Now, I’ll turn the call over to Simon to provide more detail.
Simon Biddiscombe: Thanks Barry and good afternoon. The fourth quarter of 2016 saw a continued marked improvement in our financial performance. The links were in excess of our expectations coming into the quarter and set a new record. The upside in fourth quarter Billings and acceleration in the second half 2016 was driven by improved sales execution, a new product contribution that led to strength in new business combined with continued high renewal rates. Operating expenses were below our expected range as a result of prudent expense management across all functions. All of this combined led to a major milestone for the company. For the first time in the company's history, we generated cash from operations and the total was $8.5 million in the fourth quarter. I’m proud of the organization for surpassing this financial milestone and setting the foundation for further growth in 2017. As a reminder, our discussion today refers to non-GAAP financial measures, unless otherwise noted. Our press release, Form 8-K, and website provide a reconciliation of GAAP to non-GAAP financial results. For the fourth quarter ended December 31, 2016 gross billings were $55.4 million, up 14% year-over-year. Our recurring billings in the fourth quarter were nearly $40 million, up 26% year-over-year. And on an annualized basis, our recurring billings are now at a run rate of nearly $160 million. Revenues were $45.5 million, up 6% from the prior year. Breaking down revenues into the segments, revenues from perpetual license sales were $14.3 million, down 7% year-over-year. New customers continued to show a strong preference for subscription solutions. That was offset by existing perpetual customers expanding. Revenue from subscriptions, consisting of both term subscriptions and monthly recurring charges for MRC was $16.4 million, up 14% year-over-year. Term subscription revenue was $10.6 million, up 35% from a year ago. MRC revenue was $5.9 million, down 11% from a year ago. During the fourth quarter, when a couple of customers switched from the MRC to term subscription in order to achieve cost savings by moving to fixed term contracts our overall mobile operator business was up over 20% year-over-year. Revenue from software support and services was $14.8 million, up 12% year-over-year and we continue to enjoy very high renewal rates. Revenue from recurring sources for the fourth quarter was $30.2 million, up 16% year-over-year. We believe that recurring revenue reflects combined performance data on seats, contract lengths, billings mix, and renewal ASPs. And since ASPs have been generally flat, the rate of growth of recurring revenues has been highly correlated to the rate of growth of cumulative series. Non-GAAP gross margin in the fourth quarter was 86%. This was stronger than expected, based mainly on continued operating efficiency in the customer success organization. Total non-GAAP operating expenses was slightly over $41 million as the organization achieved gains in operating efficiency. This is shown by non-GAAP operating expenses being down 2% year-over-year, while Billings grew 14% year-over-year. Non-GAAP operating margins were a negative 4.4%, significantly better than the negative 12.2% year ago. Turning to the bottom line for the fourth quarter, we reported a GAAP net loss of $10.2 million and a non-GAAP net loss of $2.3 million. GAAP EPS was a loss of $0.12 and non-GAAP EPS was a loss of $0.03. These are based on weighted average basic share count of 88.3 million shares. For 2016 total billings were $182 million, up 10% over the prior year and revenues were $164 million, up 10% year-over-year. We continued to grow double digits even as we saw a shift from perpetual to higher lifetime value subscription transactions. Operating expenses were down $10 million for 2016 allowing for the leverage of the business to show significant improvement in operating margin for the year. Stay tuned more to come in 2017. Moving to the balance sheet, we achieved a major milestone for MobileIron generating cash. Two years ago, we set a goal of being cash flow positive in the fourth quarter of 2016 and we achieved that. We ended the quarter with $90.2 million in cash and short-term investments, an increase of $9.8 million from the prior quarter. DSOs in the fourth quarter of 2016 was 71 days, down 8 days from last quarter. In general, our DSOs are in the 70 day to 80 day range and have typically moved up or down based on intra-quarter linearity and some seasonal factors. Deferred revenue was $88.1 million at the end of December versus $69.9 million the prior year, up 26% year-over-year. Turning to first quarter of 2017 guidance, we expect billings for the quarter to be in the range of $44 million to $46 million, up 15% to 20% year-over-year. This would be a further year-over-year acceleration from our most recent quarters. We're projecting a revenue range of $41 million to $43 million, up 8% to 13% year-over-year. We expect non-GAAP gross margins to be approximately 81% to 83%, as we plan on making some incremental investments in customer success and professional services. We expect that non-GAAP operating expenses will be in the range of $41 million to $43 million. With a stable management team in place, improved operations and an increased in proportion of the business from renewals, we believe it is appropriate to give annual guidance. Before giving the numbers let me first give you the working assumptions for 2017. We are getting the first signs that mix shift from perpetual to subscription is starting to slow. For 2016, perpetual revenue was 28% of overall revenue and we’re modeling that number to decline by roughly 4% to 5% throughout the year. As would any new product introductions we are attempting to be very conservative with billings related to mobile and excess and Windows 10 in 2017. We expect that blended ASPs will be at least flat in 2017. We believe our renewal rates will remain stable for the year. We are going to make incremental investments in R&D in professional services, so we would expect that COGS plus OpEx will be up in absolute dollars. Our plan for operating expenses is to make success based investments throughout the year. And with all that, we expect that gross billings in 2017 will be in the range of $195 million to $210 million, depending on mix in the overall business trends for growth of approximately 11% at the mid-point. This should translate into revenue of approximately $175 million to $190 million. Our plan is to exit 2017, the fourth quarter, with a non-GAAP operating margin around 0%. So, let's give that a range of negative 2% to positive 2%. And we believe we can generate cash from operations for 2017, but not ready to forecast a full-year amount at this time. As a reminder, all of these forward-looking statements are subject to a number of significant risks, uncertainties, and assumptions and actual results could differ materially from the statements made on this call. All statements made on this call are being made as of today. Operator, we are ready for questions.
Operator: Thank you. [Operator Instructions] The first question comes from Raimo Lenschow of Barclays. Please go ahead.
Raimo Lenschow: Thank you and congratulations on a great end of the year. Couple of questions from me. First of all, maybe it’s worth reminding us, can you talk a little bit about the situation around the head of sales, the reasons for the departure and what the plans are, and obviously there was quite a bit of turmoil in the last few quarters on that one, kind of what do you see there in terms of the sales organization, does that start to get impacted or are you kind of having a steady hand on that one there? Then on the, one question for Simon, if you think about the guided group for 2017 on billings, can you help us understand a little bit, you talked about in the 2016 results about the growth in the recurring billings and that was obviously very healthy, I would assume that I should see a similar healthy growth in 2017 numbers, but then obviously a negative mix effect, just maybe give us a little bit of more commentary around that. That would be great. And I would like you to lead with that and then if I can and maybe one more follow-up question, thank you.
Barry Mainz: Okay. So pursuant to the SCEP departure, it just wasn't the right thing. I ran sales for the prior six months of great being here, and I’m comfortable where we are and with our guide. In addition to that that for the foreseeable future sales report to me and we will update you once appropriate.
Raimo Lenschow: Okay, perfect. Thank you.
Simon Biddiscombe: And then Raimo as it relates to the, the second part of the question, which is where is the mix of billings going, if you look at where we came out in 2016 on a revenue basis it was about 28% of the full year revenues that were attributable to perpetual transactions, so as I said in my prepared remarks, I think you will see that somewhere around 4% or 5% over the course of the year. It typically is a little bit of seasonality to it, if you actually look at where it was in the fourth quarter of 2016. It is actually 31%. So it was a little higher as some of those historic customers who brought from us continue to expand and so on. So we will see some continuing shift for the 5 points range away from natural transactions towards subscription transaction. And then your observation as it relates to the proportion of the business that therefore comes from recurring billings and from recurring revenues is absolutely on point. So, as I look at what I suspect, I expect that to be a single digit increase in the proportion of billings that come from recurring transactions and I expect there to be a single digit increase in the percentage of activity that comes from recurring revenues, and the business is already on a strong trajectory in that regard, you got about 72% of the revenues - sorry 72% of the billings had come from recurring transactions in 2016 and about 69% of the revenues have come from recurring transactions. So you will continue to see a shift, the business becomes more predictable as a result of those recurring transactions obviously and as we think about the trajectory as I said in my prepared remarks that’s an important part of why we're comfortable putting back in place that full year guide that hasn't been there for nine months at this point in time.
Raimo Lenschow: Okay, perfect. Thank you. Can I just, if it is okay ask two quick follow-up questions, on MRC Simon it looks like this quarter we finally saw like people kind of walking away from it, is that something that we should expect for next year as well because obviously the proper subscription is a lot better than MRC and then for Barry, quick one as well. You talked a lot about likely legacy replacements and when you talked about the customer wins, can you talk a little bit about what you are seeing out there, is that like the legacy guys got implemented first and then it was in scalable and now they're getting replaced, is that the way what’s going on or how do you have to think about that? Thank you.
Simon Biddiscombe: I will do the first piece Raimo. The first part relates to MRC. I’m not sure it is necessarily a fundamental change in the business, which is why I pointed out how important the mobile operators continue to be, but we saw it down on a year-over-year basis by about 11% on the MRC line and as I said there is a handful of customers who choose to move to earn subscription transactions on a way from the MRC, and it will bounce around on a quarter-to-quarter basis, but I don't think it continues on this trajectory moving down 11% on a year-over-year basis. I think it will flatten off and then potentially grow again as we move into the future.
Raimo Lenschow: Okay perfect. Thank you.
Barry Mainz: Raimo, I’ll answer your question pursuant to legacy, it is really in and around competition because if I kind of look at it, it really goes into two camps, you’ve got Microsoft and you’ve got VMware, I’ll address Microsoft first. First of all, we talk about going against Microsoft, we have got a far better product. When O365 came out, if you remember right, InTune was launched and quite frankly did pause our pipeline way back then. And customers have sort of gone through their evals, they have gone through their due diligence and now we're starting to win a lot of those customers back and people know hey, we have got cross platform compatibility. We have security in many ways they just don't have, conditional access that we talked before about our MobileIron Access. Government certificates compliance capabilities like the right to disconnect law that you have in France, for example which we can enforce. And so really it is about, the whole notion of differentiation with a lot of new stock we have coming out, and we really feel that security matters in our customer space. With regards to VMware, right, so we have got lots of customers that may have been made the legacy AirWatch deployment. I mean AirWatch was built for SMB simple used cases manage my email. And we start to look at customers maturing and wanting to have more flexible deployments, some are, you know where they won a world-class on premise solution. We can provide that. Also we they want a super scalable Cloud solution, which by the way as I mentioned before is our fastest growing segment by the way, which we're competing really, really favorably against AirWatch with. And then as we start to have, see mobility mature, which is kind of a nice thing to say, a lot of the high-end features sets like the right credentials, fed search, access, bridge some of the new things that we're launching really kind of put us into a good space. I would also say that when we go head-to-head we tend to win and we're getting better at that that was one of the things we talked about before, can always do better. But I guess, I’d wrap it up by saying, if you look at Microsoft and VMware or AirWatch one talks about EMF not about to its product, and the other talks about work spaces, right? Because none of these companies really want to talk about security because they are not mobile security company.
Raimo Lenschow: Okay fair enough. Thank you.
Barry Mainz: And then you have it on the legacy and the competition.
Simon Biddiscombe: Raimo, I want to go back to your question, Sam asked me just to clarify. When I talk about the numbers on a year-over-year basis, I was talking about full year. I was talking about asset percentage of our total, okay. So, asset percentage of total, we expect the recurring business to increase in single digits. Obviously, we expect it to grow well in the double digits, if you look at it from a regular perspective. Point of clarification Sam asked me to make for you.
Raimo Lenschow: Perfect. Thank you that's helpful, yes I would have asked him. Thank you.
Simon Biddiscombe: Alright. Next question please.
Operator: The next question comes from Michael Turits of Raymond James. Please go ahead.
Austin Dietz: Hi guys, this is Austin Dietz on for Michael. Congrats on the quarter.
Barry Mainz: Thanks Austin.
Austin Dietz: Just a quick one on the MobileIron Access, maybe you can give us an update there or customer feedback and uptake has been like that would be great.
Barry Mainz: Sure. So, first we saw first revenues in Q4, we have lots of trials going on now, and I would like to look at it on to places, one, we have both excited customers, we also have really excited salespeople because when sales people are excited about new things that always makes sort of that engine cranking. It solves a critical problem. In fact, as I visited many customers last year when we start to talk about Access, many of the customers didn't know they had this problem and a whole mobile app to Cloud sort of security and access problem. So kind of in a nutshell, if I dig down a little bit it allows IT admins to define granular Cloud Access control policy based on application. So like for example in SFDC or Box or Office 365, IP address is, identity device posture and then time and location, I mean that’s the whole thing in and around being able to manage some of the laws that are coming in and around that I had talked about from France. And by the way, we were nominated for our best global mobile cloud service at mobile world congress by GSMA. So, really excited about that solution and look forward to talking to many of our customers about it.
Austin Dietz: Thanks.
Simon Biddiscombe: Next question.
Operator: The next question comes from Robert Breza of Northland Capital Market. Please go ahead.
Robert Breza: Hi congratulations guys both for Barry and Simon, I was wondering if you could talk a little bit about the international market and Simon if you could just kind of tell us what percentage that was this quarter and how you think that folds into your guidance, do you think it will stick around that 50%-ish mark? Thanks.
Barry Mainz: International continues to be very, very strong. Some of it are policy driven because of the laws in and around data centre and protection, right. The whole data protection laws that are going on in many countries so we have a terrific on prem product that continues to sell really well there. We have also built our rock solid distribution channel in EMEA and APJ, so I feel pretty good about how we are doing things moving forward. And if I think about North America, we will continue to be successful, but really, really excited about we have internationally.
Simon Biddiscombe: And then from a percentage perspective as you look at it Rob, I mean clearly in the fourth quarter Europe was much stronger than typically as a percentage of the business, you have to be really careful with it because even though that’s where our ship to customer may be, it may not ultimately be where the product is, so we always caution you as it relates to looking at the geographic breakdown of the business that we provide in the press release, it is not always active actually indicative of where the end customer may be, but 57% of the business in Q4 was international and as Barry pointed out a tremendous amount of that is in Europe at this point in time and we’re very pleased with the way that team is executing and did so in the fourth quarter.
Robert Breza: Great, thanks guys, congratulations.
Simon Biddiscombe: Thanks.
Operator: The next question comes from Bill Choi of Wunderlich. Please go ahead.
Bill Choi: Yes. Thank you. A couple of questions. Just following up on that international, I did find that interesting. Obviously conversely, the US looked a little weaker. Just wanted to get a sense for if you're looking at Europe customers largely being more perpetual oriented versus the US, and given the strength there, and you sort of tied it with some new regulations and policy management. Is that a trend that will continue beyond Q4? Do you have much visibility into that? And then I have a couple more follow-ups.
Simon Biddiscombe: As I said, I mean there is not always indicative of where the actual activities right, so we've got customers in London who are global banks and then deploy the technology around the globe from a London based approaches actually. So, you got to be really careful not to read too much into the international numbers, but as I said, the European team did a fantastic job for us. As it relates to the geographic breakdown of where the customers are buying perpetual or subscription, nothing really of any consequence to call out in that regard. And we keep an eye on it on a quarter-to-quarter basis, nothing calls to me too much consummation at this point in time at all.
Barry Mainz: Yes and another question out there about kind of policy and rules and regulations and law, I believe that the customers around the world, France with the right to connect, right to disconnect excuse me, is I think the first of many. We see some of these laws happening in Japan and other countries where they want their workforce not to feel obligated to answer and interact with their mobile device, and essentially they're working when that happens. So they want to be able to say when the employee leaves the office, they actually leave the office. And this is where MobileIron Access can really help these companies solve that problem.
Bill Choi: Do you anticipate GDPR being a big beneficiary for your business? We have largely been looking at that for traditional on-premise enterprise infrastructure type of companies, but curious your thoughts on that? And then just looking at the billings guidance Q1 year-over-year growth rates are much higher than the full year. Do you believe more visibility on perpetual mix in the near-term? Is that part of what explains the strength in Q1 and then tailing off through the rest of the year? Thanks.
Barry Mainz: Well I can answer the GDPR question, yes that will continue to be a strong suite for us. So, yes. And then the second part of the, I think it was...
Simon Biddiscombe: Ask the second part of the question again Bill, if you would?
Bill Choi: Yes. Just trying to understand your visibility on billings and the subscription versus perpetual mix?
Simon Biddiscombe: So you used the way to think about it right. So if you look at how the perpetual component of the business from a revenue perspective has declined on a year-over-year basis it has been fairly pronounced, but eventually there is a bottom to that. There is a bottom to that because there is a whole series of customers who continue to want to buy in a perpetual transaction. And also there are customers who’ve already brought from in perpetual transactions, when we expand with them or when we up sell with them. We will also enter into the transaction and exactly the same way as the original transaction. So, there is a kind of natural base to the business today from which perpetual should not erode with any further. We are very quickly getting to what that number at this point in time. So, as I said in my prepared remarks, I expect that over the course of the year and it times are right on a quarter to quarter basis you can see somewhere around 4% to 5% decline in perpetual as a percentage of total revenues, but that’s far less pronounced than we’ve seen in previous years obviously.
Bill Choi: Okay. And then last question, you talked about investing more heavily on profession services. That sounds like a change somewhat. We have seen the professional services kind of decline here quarter-over-quarter, for a couple of quarters. Just wanted to understand what your new strategy might be, if that's in fact a change in stand towards pro services? Thank you.
Barry Mainz: That's a really good question because as we look at MobileIron Access and our Win 10 strategy with our Win10 portfolio, including Win10 Bridge, we feel that professional services will help our customers be more successful. I always say especially in the early stages with delivering a solution you need the product, plus the service that equals the solution and we have to have the capability to bootstrap our customers quickly. So that’s part and parcel, part of our go to market strategy is to provide a successful path to market, which includes professional services. And that’s why we are investing.
Simon Biddiscombe: And then obviously Bill, if you're going to thrill the customer the ability to up sound and expand that much more quickly than if the customer is working through the situation by themselves right. So there is an immediate time to market as it relates to the landlord and then there is much faster time to expand and up sell as well.
Bill Choi: Any sense for headcount or cost that's going to be involved, the expense?
Simon Biddiscombe: Yes I'm not going to give you that level of granularity at this point in time, but suffice to say when you put your model together you start looking at the potential gross margin impact that we expect to see. You'll start to understand exactly the level of investment as a piece of that also customer success that triggers well as we continue to add to that 13,500 customers we continue to add resources to support those customers, but it is not dramatic, but if you put your model together we could chat about it later.
Bill Choi: Thank you.
Operator: The next question comes from James Faucette of Morgan Stanley. Please go ahead.
James Faucette: Thank you very much. Just a couple of questions from me. First you talked about a good mix of new customers, and then expanding the footprint within existing customers. Can you give any color as to what the newer customers, what they're gravitating towards from a feature and product standpoint, if that's any different from the existing customers? And within the existing customers how much opportunity are you seeing to expand your capabilities, not just seat footprint? And then my question as far as recurring revenue, can you help us breakdown how much of that is coming from subscriptions versus service and support on existing perpetual licenses, and if we should expect any meaningful change in that going forward? I know you talked about the rate of growth in perpetual, or that mix change slowing down, but I just want to make sure I understand what's going on within the discrete service and maintenance versus subscription? Thanks.
Barry Mainz: Let me handle the first one there. Yes you talked about new and existing customers why they are expanding or why they are finding our solutions compelling. So, let’s take new customers first. And I spent a lot of time with new customers James last quarter. And I think the main reason is thought leadership. We’re spending time doing things different then just go and try and build a better mousetrap. We talked about access. We also talked about, haven’t talked too much about Win10 Bridge, but this has become a very compelling opportunity for customers to lower total cost of ownership and also kind of figure out how they can go ahead and add a single console to be able to manage multiple mobile types of devices, right. That single pane of glass. We saw and I think you have heard in my remarks we surpassed over 50,000 devices and we are pretty optimistic about 2017 with Win10 expansion for new customers and existing customers, and I would also say if we look at new customers they talk a lot about security and compliance versus just MDM or EMM. So that kind of uplifted that kind of value prop in those business conversations versus just talking about, hey do I manage mobile device and can I wipe it and find it and that kind of thing. With existing customers, it is really an expand and I can tell you that Access, MobileIron Access and Win10 Bridge are incredibly compiling because we have stuff people don't. And we’re going in and solving a different problem and talking about aligning with business value and business problems that quite frankly our competition can't help the way. It is certainly at the same level and it is certainly the same fashion.
Simon Biddiscombe: So, I will take the second part of the question which was, and I apologize if I don’t get the complete answers for you here James, I think I will get most of it, but - the question was, which components of the recurring business do I expect to grow more quickly and if you take the roughly $30 million of recurring that we did in the fourth quarter you can see that roughly $60 million of it for argument's sake came from subscription transactions, and roughly $14 million from support and services. If you look at the rates of growth that are applied to close and fast the growth growing part is obviously the subscription transaction and the subscription transaction actually has a higher ASP associated with it then the maintenance transaction has right. So given that on a year-over-year basis and the fourth quarter subscription grew by 14% and that’s got the highest part of the ASP. We will continue to see that drive the biggest part of the growth in the recurring business as we move forward. So hopefully that answers the question and if it doesn't, I’m quite happy to take it off-line and take you through it.
Barry Mainz: Hi James, I have got an add that I was just sort of thinking here. There are two things that I didn't mention, which are important both for new customers and existing, is that we do find with kind of competitive situations that our customer success organization and quality have improved so much dramatically that that’s an incredibly, it’s an advantage, given the market and given where headers are, I would also say that with - and certainly new customers, you don't feel pretty good about going in and competing in the marketplace where mobility is shifting from like I said email to applications and we're starting to see that shift and we're starting to see customers asking about and being sort of worried about compliance and security issues, maybe they weren't worried about maybe 6 months to 9 months ago.
James Faucette: That is very helpful. Thank you.
Simon Biddiscombe: Thanks James. Next question.
Operator: The next question comes from Michael Kim of Imperial Capital. Please go ahead.
Michael Kim: Hi. Good afternoon guys. Can you talk a little bit about your opportunities in the US federal market, now that you have Fed RAMP ATO, and kind of your visibility around the opportunity to capture some contract awards in the current federal fiscal year, and also partnerships with some of the system integrators?
Barry Mainz: Okay. Yes I can, I think just given the current administration we will have to see how that rolls out. I think there is that factor, but I would also say that you know we are poised for success in Fed. You know there are certain seasonality, but I do believe the certification that you mentioned in your comment are helping us get into opportunities or in many trials and I feel good about our fed team and how we can execute.
Michael Kim: Great. And then just going back to Access, are you finding that becoming maybe a lead part of the conversation, with net new logos, and the opportunity to drive deal size a little bit higher, and then just with the existing customers, can you talk a little about kind of the pace of evals, and how that's starting to expand?
Barry Mainz: Yes, it is really in and around, that is a great question because the new customers are really in and around Cloud security. We’ve got a cloud platform and we have got conditional access to help customers manage that kind of security compliance issue in and around delivering cloud apps. So, that conversation is completely different than saying, can I, like I said before, managing a MDM sales campaign or an EMM. So, feel good about that. The other pieces you know, I do think that our customers are seeing us differently now than they were before. And being able to lead with a different narrative, different kind of value prop, I feel good about that. Right and our customers are resonating and we are able to go have conversations with different people in the organization like the line of business. We didn't really engage with line of business before and now we are engaging with line of business because we’ve got customers wanting to rollout say a application delivered on an iPad and the customers are worried about, if that iPad gets into the wrong hands of someone can login to the application that’s on the iPad, from a different iPad am I compromised. So, I think you are right. The narratives changed and the value props changed. And it is helping.
Michael Kim: Great. And Simon one for you, just to help us model out Access. Can you talk a little about the incremental ASP per seat? Say on top of the end on the EMM Gold bundle, and maybe put you a little our on the spot, but how we should think about penetration in the existing installed base?
Simon Biddiscombe: So I'm not going to give any of that Michael, we will work it out with you over the course of time with you. We have clearly been very conservative as it relates to the participation of the new solutions bought Win10 Bridge and Access in the business as we work our way through 2017 and we will give you more detail as time passes and when we think it is appropriate.
Michael Kim: Okay. Very good. Thank you very much.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Sam Wilson for any closing remarks.
Samuel Wilson: Thank you everyone. I just want to make sure everybody heard that we're having an Analyst Event in New York City on Wednesday, February 22 from 10 A.M. to 1 P.M. at the NASDAQ market site. Please RSVP at IR@MobileIron.com so we can capture that through security to NASDAQ site. And then, secondly if you want a replay of this call please call 1-844-512-2921 and the pin number is 1002224. Thank you everyone.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.